Operator: Welcome to ManpowerGroup Third Quarter Earnings Results Conference Call. At this time, all participants are in a listen-only mode until the Q&A session of today’s conference. This call will be recorded. If you have any objections, please disconnect at this time. And now, I will turn the call over to ManpowerGroup Chairman and CEO, Jonas Prising.
Jonas Prising: Good morning. Welcome to the third second quarter conference call for 2018. With me today is our Chief Financial Officer, Jack McGinnis. I will start the call today by going through some of the highlights of the third quarter, then Jack will go through the operating results and the segments, our balance sheet and cash flow, as well as comments on our outlook for the fourth quarter, and then I will follow up with some final thoughts before our Q&A session. Before we go any further into our call, Jack will now read the Safe Harbor language.
Jack McGinnis: Good morning, everyone. This conference call includes forward-looking statements, which are subject to known and unknown risks and uncertainties. These statements are based on management’s current expectations or beliefs. Actual results might differ materially from those projected in the forward-looking statements. We assume no obligation to update or advice any forward-looking statements. Slide 2 of our earnings release presentation includes important information regarding previous SEC filings and reconciliation of non-GAAP measures.
Jonas Prising: Thanks Jack. Revenue in the third quarter came in at $5.4 billion an increase of 1% in constant currency. On a same-day basis our underlying organic constant currency revenue growth rate was also 1%. This reflects a lower growth rate than we had expected at the beginning of the quarter and it is primarily attributable to our businesses in Europe and although improving the business in the U.S. Partially offsetting the decelerating revenue trends in Europe were strong revenue growth trends in Asia-Pacific middle-east and most of our businesses within the Americas. Operating profit for the third quarter was $217 million down 3% in constant currency. Operating profit margin came in at 4% down 20 basis points from the prior year. Our performance in the quarter reflect stronger-than-expected gross profit margin of 16.4% which represents a 10 basis points decrease from the prior year. We continue to manage SG&A well in the quarter and have taken appropriate management actions in view of the recent softer revenue trends. Earnings per share for the quarter was $2.43 this represented an increase of 21% in constant currency year-over-year. Our third quarter results reflect a slower growth environment parts of Europe and it's a more challenging environment than we had anticipated a few months ago. This aligns well with external data points such as recent lower business confidence measures and the Purchasing Managers Index PMI trends which continue to decrease throughout the quarter in several of our main markets in Europe reaching its lowest point in 2019 in September in markets like France, Germany and Spain. In this softening economic environment we mitigated the lower revenue impact through strong pricing discipline and cost control. Following a declining trend into September our activity levels have stabilized in some European markets in late September and early October. With that said we're following the European market evolution very carefully to optimize operational execution while making investments in additional sales and recruitment capabilities in the countries and offerings where we see the strongest opportunities for growth. And in addition we are very focused on improved productivity and cost mitigation in countries that are experiencing a softening environment. During the quarter we continue to see solid growth in our solutions business particularly in our RPO MSP and for Serbia businesses. Our market leading MSP business TAPFIN was recently named a global MSP leader by Everest research group for the fifth consecutive year and this follows on our RPO offering also being recognized by Everest as a global leader for the eighth consecutive year. Our RPO revenue from multi-country RPO deals has experienced double-digit growth in 2018 as clients look to leverage our global footprint and workforce insights. We continue to implement leading technology tools throughout our businesses globally. In addition to driving additional productivity and efficiencies our investment in technology is core to our strategy of maintaining our leadership in workforce solutions and enabling our teams to help clients and candidates win through better data insights and innovative delivery models. During the third quarter we transitioned a substantial portion of our business in Germany to a new integrated front office system and we continue the rollout of new cloud-based front office systems and large businesses such as the U.S., Belgium, and the UK and this is in addition to the Netherlands, Australia and India amongst others what we have already upgraded to a cloud-based front office infrastructure. We're also completing many additional automation initiatives targeting improved transaction processes and back-office activities and as part of our investments in front, middle, back office technology we also believe that our significant investments in cyber security will establish ManpowerGroup as one of the most trusted guardians in our industry of client and candidate data. And with that, I would like to turn it over to Jack to provide additional financial information and a review of our segment results and our fourth-quarter outlook.
Jack McGinnis: Thanks Jonas. As Jonas mentioned we experienced an increasingly challenging revenue environment in the third quarter which impacted our third quarter performance. Operating profit declined 3% on a constant currency basis. This performance resulted in operating profit margin of 4% which was at the low end of our guidance range. As Jonas discussed revenue growth of 1% in constant currency came in below our constant currency guidance range. Our gross profit margin declined 10 basis points year-over-year which exceeded our guidance range as we experienced continued improvement and underlying staffing margin trends as well as favorable direct cost accrual adjustments during the quarter. Our SG&A was well-managed during the quarter as we realize run rate savings from previous restructuring actions which helped offset the lack of operational leverage from decelerating constant currency revenue growth. Breaking our revenue growth down into a bit more detail a reported revenue decline of 1% includes a negative currency impact. On a constant currency basis our revenue growth rate was 1%. Acquisitions contributed about 30 basis points to our growth rate in the quarter and as billing day adjustments were minor the organic constant currency days adjusted growth rate was also 1%. The slower growth rate was primarily driven by revenue declines in various businesses in Europe most notably in France and Germany. I will discuss this further in the segment reviews. On a reported basis earnings per share was $2.43 starting with our guidance EPS midpoint of $2.41 lower operational performance driven by lower revenues contribute to $0.14 reduction. I mentioned last quarter that the hyperinflationary designation of Argentina now results in foreign currency related adjustments being recorded through earnings. This resulted in a negative $0.04 impact on our earnings which is recorded within other expenses. These decreases were more than offset by increases representing $0.02 favorable other income including foreign currency impacts and inequity pickup related to our partial ownership interest in our Switzerland franchise. $0.01 from lower foreign currency translation impact. $0.13 from lower effective tax rate primarily due to discrete items and $0.04 from lower weighted average shares former purchases during the quarter. Looking at our gross profit margin in detail our gross margin came in at 16.4%. Staffing in our margin declined 10 basis points year-over-year which represented an improvement from recent trends. This improvement is due to continued improvement in staffing margin in key markets such as the U.S., France, and Italy as well as favorable direct costs accrual adjustments in the quarter. In addition, the gross profit margin increase of 10 basis points from higher permanent recruitment was offset by slightly lower margin in our solutions MSP business in the quarter. Next, let's review our gross profit by business line. During the quarter the Manpower brand comprised 63% of gross profit. Our experienced professional business comprised 19%, ManpowerGroup Solutions comprised 14% and Right Management 4%. Our strongest growth was once again achieved in our higher value solutions offerings within ManpowerGroup Solutions. During the quarter our Manpower brand reported a 1% increase in gross profit on a constant currency basis. This represents a decrease from the 3% constant currency growth rate in the second quarter. This was driven by declines in France, Germany, and the UK and slower growth in Italy on high prior year comparables. Within our Manpower brand approximately 60% of the gross profit is derived from light industrial skills and 40% is derived from office and clerical skills. Gross profit from staffing within light industrial skills was down slightly while office and clerical skills experienced a slight increase in the rate of growth in the quarter. Gross profit in our experience brand was flat on a constant currency basis year-over-year. This representative decrease from the 2% constant currency growth rate achieved in the second quarter. The decrease was primarily driven by Spain, the Netherlands, and Sweden. ManpowerGroup Solutions includes our global market leading RPO and MSP offerings as well as our talent based outsourcing solutions including pro Serbia, our IT infrastructure and end-user support business. Gross profit growth in the quarter was up 8% in constant currency which represents a slight decrease in the 9% constant currency growth rate achieved in the second quarter. Right Management experienced the decline in gross profit of 8% in constant currency during the quarter is outplacement activity continued to decline. This represents a slight improvement from the 10% constant currency decline experience in the second quarter. I will comment further on Right Management in my segment review. SG&A expense was $674 million an increase of $2 million from the prior year. This net increase included a year-over-year reduction of $12 million from currency changes, a $2 million increase from acquisitions and an $11 million increase from operations. SG&A expenses as a percentage of revenue in the quarter represented 12.4% which was a good result in a challenging revenue quarter. The revenue reflected the benefits of previous restructuring actions and it continued focus on operational efficiency across our businesses as we execute on technology enhancements. The Americas segments comprised 19% of consolidated revenue. Revenue in the quarter was $1 billion representing 2% growth year-over-year on constant currency. OUP of $51 million represented a decrease of 11% in constant currency driven by the U.S. which I will discuss next. Similarly OUP margin decreased by 70 basis points year-over-year. The U.S. is the largest country in the Americas segment comprising 61% of segment revenues. Revenue in the U.S. was $633 million down 4% compared to the prior year. This represented a gradual improvement from the 5% decrease in the second quarter. During the quarter OUP for our U.S. business decreased 24% to $33 million and OUP margin was 5.2% a reduction of 140 basis points from the prior year. A decrease in OUP dollars in margin were expected due to the additional spends on front office technology in the U.S. and we also incurred additional costs during the quarter. As the U.S. continued to improve the rate of revenue decline in the third quarter the business accomplish and improvement in staffing interim gross margin once again. Evidence saying that the U.S. business is focused on executing business that delivers optimal gross profit margins. Within the U.S. the Manpower brand comprised 43% of gross profit during the quarter. Revenue for the Manpower brand in the U.S. was down 3% in the quarter as we experienced improvement in the revenue trend from the second quarter. Hurricane Florence did result in some loss of business within the Manpower business in the U.S. during September but the impact was not significant to the trend. The experienced brand in the U.S. comprised 34% of gross profit in the quarter with inexperience in the U.S. IT skills comprise approximately 70% of revenues. During the quarter our experienced revenues declined 8% from the prior year compared to 6% or 7% on a days adjusted basis declined experienced in the second quarter. Experience has been very focused on profitable business and this again led to another quarter of very strong profit margin during the quarter with staffing interim margin increasing year-over-year. ManpowerGroup Solutions in the U.S. contributed 23% of gross profit and experienced 5% revenue growth in the quarter compared to 3% decline in the second quarter. We continued to see good opportunities for growth in both our higher-value MSP and RPO solutions. Our Mexico operation had 5% constant currency revenue growth in the quarter. The business in Mexico performed well in the quarter and we expect good growth also into the fourth quarter. Revenue in Argentina was up 14% in constant currency which continues to reflect the impact of inflation. We're operating in Argentina in a disciplined and cautious manner in view of the hyperinflationary environment. As a result billable hours were down 7% year-over-year in the third quarter as we continue to focus on margin and payment terms improvement. As I mentioned earlier we incurred a loss within other expenses of $4 million related to hyperinflationary accounting for Argentina effective July 01. Revenue growth in other countries within Americas was up 16% in constant currency or 11% on an organic basis. This growth was driven primarily by strong revenue growth in Canada, Colombia, and Brazil. Southern Europe revenue comprised 43% of consolidated revenue in the quarter. Revenue in southern Europe came in at 2.3 billion an increase of 2% in constant currency. This represented a deceleration from the 5% average daily constant currency revenue growth rate in the second quarter driven by revenue declines in France and Spain and lower growth in Italy on prior year comparables. OUP increased 4% from the prior year in constant currency and OUP margin increased 10 basis points which was driven by France. Permanent recruitment growth was strong at 14% in constant currency. France revenue comprised 63% of the southern Europe segment in the quarter and declined 1% from the prior year in constant currency. On a billing days adjusted constant currency basis we observed a significant slowing during the quarter with 1% year-over-year growth rate in July moving to a 2% decline in September. In the first half of October we continue to see a stable level of revenue decline of 2%. As previously discussed the CICE rate decrease has impacted France's gross profit margin during 2018 and the business has managed to partially offset this impact through strong pricing discipline. During the third quarter France also had favorable direct cost adjustments and this combined with the underlying improvement resulted in a gross profit margin increase year-over-year for the quarter. OUP was $79 million an increase of 2% in constant currency and OUP margin was up 20 basis points and constant currency to 5.4%. Permanent recruitment growth was 7% in constant currency during the quarter. We have incorporated the current trend of a 2% decline experienced in September and October into our fourth quarter revenue guidance. During September the government of France published the preliminary budget for 2019. I will discuss the impact on CIC in the fourth quarter of 2018 as well as our expectation for 2019 annual impact when I cover the outlook. Revenue in Italy increased 7% in constant currency to $410 million. We saw another quarter of sequential improvement in the staffing margin trend in Italy during the third quarter. Permanent recruitment was very strong with 15% growth in the quarter. The improved GP margin trend and strong cost management resulted in OUP margin of 6.3%. We expect growth to continue to slow in the fourth quarter as we anniversary very high growth and expect revenue growth at the very low single digits to flat in the fourth quarter. In Spain revenue slowed in the third quarter representing a year-over-year decrease of 2% in constant currency or flat on a billing days adjusted basis. We expect Spain will have a similar level of revenue performance on a billing days adjusted basis in the fourth quarter. Our northern Europe segment comprised 24% of consolidated revenue in the quarter. Revenue was down 4% in constant currency to $1.3 billion. This represents a decrease from the 1% billing days adjusted constant currency growth rate in the second quarter primarily driven by Germany, the Netherlands and Belgium. OUP decreased 17% in constant currency and OUP margin was down 50 basis points as reported year-over-year. The decrease in OUP was driven by Germany which involved revenue declines largely due to the impact of the transition to new delivery models combined with front office technology changes. As well as additional costs related to these new systems. Our largest market in Northern Europe segment is the UK which represented 31% of segment revenue in the quarter. UK revenues were flat and constant currency down from the 2% billing days adjusted constant currency growth in the second quarter. Our Manpower business in the UK experienced 7% constant currency revenue decline in the third quarter which included reductions in production from the large automotive client. Conversely our experienced business experienced another quarter of improvement and improved their double-digit constant currency revenue growth in the third quarter. We expect the revenue trend for the UK overall to remain relatively stable into the fourth quarter with a flat to slightly down revenue trend year-over-year. Revenue in Germany declined 14% on the constant currency basis in the third quarter. This represented the further decline from the 2% constant currency decline on the days adjusted basis in the second quarter. Last quarter we discussed the declining trend in the industrial Manpower business and we have also previously discussed new system implementation costs in Germany. During the third quarter we transitioned a substantial portion of our Manpower business to a new front office system. We also took actions to optimize our client delivery models during the third quarter which resulted in realignment of our services through central fulfillment centers and a redirection of branch delivery channels. These activities which are designed to improve our delivery models and productivity resulted in significant client disruption which impacted our revenues during the quarter. These activities combined with the deceleration in the manufacturing sector during the third quarter in Germany contributed to the overall level of revenue decline. We are progressing through the client delivery model changes and expect to see a slightly improved days adjusted rate of revenue decline in the fourth quarter and expect strong improvement into the first part of 2019. In the Nordics, we experienced the 3% constant currency revenue decline during the third quarter. This represents a decline from the flat billing days adjusted revenue growth in the second quarter. Declines in Sweden were partially offset by revenue growth in Norway. We expect to see flat to slight revenue growth in the fourth quarter. Revenues in Netherlands and Belgium decreased 4% and 1% respectively in constant currency on a billing days adjusted basis during the third quarter. This represented a decline in both countries from the second quarter. We expect continued revenue declines in the Netherlands and the slight improvement in the revenue trend in Belgium in the fourth quarter. Other markets in northern Europe had a revenue increase of 4% in constant currency driven by growth in Finland and Russia. The Asia-Pacific Middle-East segment comprises 13% of consolidated revenue in the quarter. Revenue was up 10% in constant currency to $713 million representing a continuation of the strong growth rate in the second quarter. Permanent recruitment growth was 8% in constant currency. OUP was $32 million in the quarter representing a 21% increase in constant currency and OUP margin increased 40 basis points driven by gross profit margin improvement and improved SG&A efficiency year-over-year. Revenue growth in Japan was up 3% on a constant currency basis and represented the continuation of the rate of growth in the second quarter. Permanent improvement growth was 8% in constant currency. Japan experienced gross profit margin expansion year-over-year as a result of underlying improvement in staffing margin as well as favorable direct cost impacts from accrual adjustments. OUP and OUP margin improved once again during the third quarter in Japan. We expect a similar revenue trend in the fourth quarter. Revenues in Australia and New Zealand were up 6% in constant currency and adjusting for billing days this represented a slight increase from the 5% revenue growth rate in the second quarter. Based on timing of certain client volumes we expect revenue growth to be flat to slightly up in the fourth quarter. Revenue in other markets in Asia-Pacific Middle-East continued to be very strong up 17% in constant currency and represents a continuation of the second quarter revenue trend. This was a result of strong double-digit growth in a number of markets including operations in India, greater China, Thailand, Malaysia Singapore, and Vietnam. Our Right Management business experienced the 7% constant currency revenue decline in the third quarter. This was driven by reduced outplacement activity. The rate of revenue decline represents an improvement from the 10% constant currency decline in the second quarter. Lower gross profits drove an OUP decrease of 18% on a constant currency basis and the OUP margin declined by 170 basis points. I'll now turn to the cash flow and balance sheet. Free cash flow is defined as cash from operations less capital expenditures was $262 million during the first nine months of the year compared to $247 million in the prior year period. The third quarter experienced positive free cash flow of $113 million which compared to $125 million in the year ago period. At quarter end day sales outstanding increased by two days consistent with prior quarters changes in our business mix has driven some of the overall DSO increase. We continue to execute our initiatives to improve the trend of DSL. Capital expenditures represented 40 million during the first nine months of 2018. During the quarter we purchased 2.1 million shares of stock for 189 million bringing total purchases for the nine-month period to 3.2 million shares for 299 million. As of September 30, 2018 we have 5.7 million shares remaining for purchase under the six million share program approved in August of 2018. Our balance sheet was strong at quarter end with cash of $683 million and total debt of $1.08 billion bringing our net debt to $396 million. Our debt ratios are very comfortable at quarter end with total debt to trailing 12 months EBITDA of $1.2 and totaled debt to total capitalization at 28%. Our debt and credit facilities did not change in the quarter. At quarter and we had a 500 million Euro note outstanding with an effective interest rate of 1.8 maturing in June of 2026 and 400 million Euro note was an effective interest rate of 1.9 maturing in September of 2022. In addition, we have revolving credit agreement for 600 million which remains unused. Before I discuss the outlook I will cover the expected changes in France related to CICE and the transition to new subsidies in 2019. In September the government of France published the preliminary budget for 2019. We were pleased to see that the preliminary budget related to materials reaffirmed that the government does intend to replace the current CICE program with new subsidies in 2019 specifically for workers’ wages at 2.5 times the minimum wage and below there will be a 6% subsidy in the form of reduced social costs paid by employers beginning January 01, 2019. This subsidy is equal to the level of the current CICE amount which is also 6%. There will also be additional subsidies introduced referred to as the fee owned subsidies for workers’ wages between 1 to 1.6 times the minimum wage. The fee own subsidies are applied on a sliding scale such that wages at one times the minimum wage receive an incremental 3.9% subsidy and this percentage reduces as wages increase to 1.6 times the minimum wage. The additional fee on subsidies will commence on October 01, 2019. Our workers wages are often above the minimum wage and our preliminary estimate is that the benefit of the incremental fee own subsidies will result in an additional 45 basis points of gross margin benefit for our French business beginning in the fourth quarter of 2019. Unlike the CICE program the preliminary budget did not state any special treatment to the application of profit-sharing calculations for employee and associates compensation pools as applied to the pre-tax impacts of the subsidies. As a result we assumed normal profit sharing calculations apply and we estimate the profit sharing costs will reduce the gross profit margin benefit of the subsidies in France by approximately 50 to 55 basis points during 2019. In summary this will result in a reduction of our GP margin in France of about 50 basis points in the first three quarters of 2019 and beginning in the fourth quarter after the incremental fee own subsidies are received the reduction would then represent about 15 basis points going forward. Similar to our successful effort in 2018 to offset a large part of the CICE decrease we will again strive to offset this net impact in 2019 with ongoing initiatives. We already factored the income-tax impact of the change into our global effective tax rate guidance for 2019 announced at the beginning of this year. Lastly turning back to next quarter based on our understanding of the anticipated treatment of the transition from the CICE program at the end of 2018 to the new subsidy program in January of 2019 we are estimating that the CICE benefit for the month of December 2018 will be substantially reduced. As a result we estimate a one-time negative impact on GP margin for the month of December in France of approximately 120 basis points for the fourth quarter related to the transition. This would represent a one-time 30 basis point negative margin impact at the consolidated level in the fourth quarter. Next I will review our outlook for the fourth quarter of 2018. We are forecasting earnings per share to be in the range of $2.15 to $2.23 which includes a negative impact from foreign currency of $0.05 per share. This also includes the one-time negative impact for the month of December related to the CICE reduction in France that I just mentioned which is estimated at $0.27. Our constant currency revenue guidance range is between a 1% decline and 1% growth. The impact of acquisitions represents 10 basis points of our growth rate projection for the fourth quarter. There's about one more day in the fourth quarter of 2018 compared to 2017 as a result this represents the billing days adjusted organic constant currency revenue rate of a 2% decline at the midpoint. This reflects the current trends in key markets particularly Europe in the anniversary of higher growth rates in various markets. From a segments standpoint we expect constant currency revenue growth in the Americas to be in the low single digits. Southern Europe to be in the low single digits. Northern Europe a decline in the low to mid single-digit range. And Asia-Pacific Middle East growing in the low to mid single digit range. We expect the revenue decline at Right Management in the mid to high single digits. Our operating profit margin during the fourth quarter should be down 50 basis points which represents 20 basis points of underlying operating margin reduction similar to the third quarter result on technology spend and reduced operating leverage plus the 30 basis point one time impact of the reduced CICE in December of 2018 that I mentioned previously. We expect our income tax rate in the fourth quarter to approximately 27.5%. As usual our guidance does not incorporate additional share repurchases and we estimate our weighted average shares to be 63.9 million reflecting share repurchases through September 30, 2018. Our guidance also does not include any estimate for hyperinflationary accounting related to foreign currency gains or losses related to our Argentina business. With that I'd like to turn it back to Jonas.
Jonas Prising: Thanks Jack. We believe that our market leading global footprint and diversified business mix enabled by technology will continue to serve us very well. We don't know how long we might be facing a lower growth environment in some parts of Europe but we continue to believe that we have good opportunities for improved profitable growth in that region. Our broad portfolio of services and solutions gives us the opportunity to pursue growth opportunities even when those markets become more challenging. Just as we saw in the strong third quarter revenue growth for Serbia and Germany experience in the UK and permanent recruitment growth in Spain, Italy, France, the Nordics and the Netherlands. We have a cautious near-term outlook but we're confident we can balance the need for continued investments in markets that provide us with growth opportunities with vast optimization and productivity activities in markets experiencing reduced demand. In summary, although we expect the environment to continue to be challenging in Europe during the fourth quarter we will continue to execute our strategic priorities while managing costs prudently. We know that access to human capital and workforce agility continues to be of critical importance for employers across the world and we are very well positioned to take advantage of that demand with our strong and connected brands, our extensive portfolio services and our unrivaled global footprint. With that I would now like to open the call for Q&A. Operator?
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] Our first question is from the line of Andrew Steinerman from JPMorgan. Your line is now open.
Andrew Steinerman: Hi, Jonas this might not be a fair question but you described the European environment for Manpower as challenging expected to continue to be challenging. Now surely we've closely tracked the PMI data which is so often throughout the year from Europe and France in particular but it's still over 50 and on our economist [indiscernible] Western European real GDP at about 1.9% in the third quarter. Is that environment sort of expected to be challenging for [indiscernible] firm or is there something unusual going on here.
Jonas Prising: Thanks Andrew. That's a great question and I would say it was more challenging than we had expected but as you can tell from the various measures that you measure September was the weakest month of the 2018 and it actually went in a different direction that most people had expected including ourselves. Now having said all of that it's clear that there are some headwinds now that are starting to concerned employers in various markets across Europe. You have the new governments in Italy, Spain upcoming European elections that may cause some uncertainty. You have the automotive sector which is weakening in part on over capacity in part to the new legislation on emissions and although we are not directly exposed to that sector there corollary sectors and industries that are impacted by that and also I think the uncertainty around the Brexit although it's hard to address it specifically because the rules haven't changed, the idea that we're getting closer to a hard of Brexit or no clarity on what's going to happen next may also be causing some uncertainty. And finally, you can also see that there are clearly some areas where the European outlook is concerned as it relates to global trade. Now having read all of that speaking to our clients they are optimistic in terms of their outlook to into the next year. Economists are optimistic in their outlook but speaking with clients they will say look we're seeing this environment now. This is our posture at this point but we're overall optimistic and I would say all of these issues they are issues that can be resolved the question is when and to what extent and we still believe that Europe is behind the U.S. in terms of where it sits in the economic cycle with further room to run. So we are optimistic but we are also cautious in our near-term outlook based on what we're seeing and what our clients are telling us in a number of European countries.
Andrew Steinerman: Thank you.
Operator: Thank you and our next question is from the line of Kevin McVeigh from Credit Suisse. Your line is now open.
Kevin McVeigh: Great. Thank you. Hey Jack. Very helpful commentary on the CICE. Is there any way to just frame what the EPS impact will be in ‘19 as a result of the margins? I know we know what the tax impacts can be in ‘19 but now what the margin impact will be as a result of the changes in 2019?
Jack McGinnis: Kevin I'd say we've given the impact on the gross margin, so I think if you're trying to get to the consolidated impact basically that 50 basis point down in France for the first three quarters I would based on the fact that France is roughly 25%-26% of the consolidated enterprise I divide that by four and you can get to the consolidated impact. And so that will give you an indication of once you look at that new tax effect that what that will do to EPS. As I mentioned earlier that will improve in the fourth quarter when the fee on subsidies kick in so that will be reduced to only a 15 basis point decline year-over-year and again when you divide that by four and you get to the consolidated impact. It'll be much smaller on a consolidated enterprise. So I think if you do that that'll get you to the EPS when you consider the average shares, the ending shares that we talked about at the end of the quarter.
Kevin McVeigh: Got it and then just real quick the conversations with the clients is it feeling like more of a recessionary type conversation or we've had kind of three mid cycle pauses if you would is it the pause that if it starts to feel more recessionary or I guess just based on the tenure and the type of planning they're doing what type of conversations are you having?
Jack McGinnis: The kind of conversation we're having are of the nature of a pause or a soft patch. They are just in demand as it relates to how they think about their workforce, how they think about the demand for the products and services and they're seeing that the environment has clearly gotten softer and as I mentioned there are a number of headwinds that they're paying attention to but all of these headwinds are solvable and they believe that reason will prevail and that the going forward posture is that there's still room to run and that it's their outlook looking ahead is still quite positive. So I would say that the conversations are really around a near-term uncertainty with some unevenness but their basic outlook on Europe is still positive and to my prior response to Andrew earlier I would say that their view is it's more challenging than expected but it's still the growth environment. So this isn't anything that they're seeing running against the wall. It's just slower than they had expected and they are adjusting accordingly and that's what we're feeling in our business but their overall tone is still constructive and optimistic based on what they expect to happen.
Kevin McVeigh: Great. Thank you.
Operator: Thank you and our next question is from the line of Tim McHugh from William Blair & Company. Your line is now open.
Tim McHugh: Thank you. Just on Germany I guess the disruption from – the disruption you saw from the business model are kind of delivery model change was that worse than you thought and does it – was there anything about the change that in hindsight was not did not go through the way you expected or basically any operational or execution issues that could linger here that we should think about?
Jonas Prising: Well we saw slowing in Q3 which in part we had expected because we've seen the PMI coming down a bit and that's reflected in our Manpower business but I would say that the majority of the revenue declines were driven by our delivery model changes and the new front office system and those resulted in disruptions to business and we're working our way through both of these issues and we are not pleased with our execution but I think we can address these and improve over the coming quarter. So to answer your questions there's certainly lessons for us to learn. We have implementations of the similar kind going on in many parts of the company where things are going well and we're pleased with our progress and pleased how they are tracking. So we have some execution issues that we're addressing in Germany and I feel good about our ability to address them and get back on track.
Jack McGinnis: And Tim I would add to Jonas's comments. We've actually incorporated that into our fourth quarter guidance. So, we do expect that Germany will continue to be in a decline in the fourth quarter. We see that improved from the third quarter; Jonas's comments that we are making progress, working through it. But it will still be low double digit decline in Germany in Q4.
Tim McHugh: Okay. And just a follow-up with that. Lower productivity of your existing staff or does those change drive the heightened turnover or something like that?
Jonas Prising: Why, I would say that it drove somewhat of both. We were we had difficulties and disruption in our business and that caused some of our clients to be unhappy as well as some of our candidates to be unhappy in a very tight German labor market. But overall, these are changes that are aimed at segmenting the business and addressing an enterprise segment with more efficient delivery models and a convenience segment with better delivery models and leveraging our branch network in Germany. So, those are in the end we think are going to be very good models to better serve our clients and candidates but we clearly had some issues around the execution of that implementation and that's what we're addressing.
Tim McHugh: Okay. And then just on Italy, the regulatory change this summer, can you talk about what you're seeing from the impact of that?
Jonas Prising: Yes. We're very pleased with the operations in Italy, and the team is doing a really good job and as you heard, Jack mentioned earlier, our firm is very strong. As it relates to the impact of the dignity decree, it's not clear yet but at this point it seems manageable but will no more in November, I think. Because that's when it comes into effect.
Tim McHugh: Okay.
Jack McGinnis: And I would just add to that while we're on Italy. Italy did see improvement and their staffing margin we talked in previous quarters about the client mix shift that Italy had experience based on the very high growth and we saw that improve. The staffing margin trend in the second quarter and that improvement continued into the third quarter. So, that was good and as Jonas mentioned the very strong perm in perm growth in Italy basically was a big driver as well to the overall gross profit margin and that help them keep that high OUP margin, year-over-year.
Tim McHugh: Great, thank you.
Jack McGinnis: Thanks Tim.
Operator: Thank you. And our next question is from the line of Jeffrey Silber from BMO Capital Markets. Your line is now open.
Jeffrey Silber: Thanks so much. Jonas, when you were asked about how your clients are viewing the current environment, I think you said that they are staying mostly it's more challenging than expected but still solid growth specifically Europe. I'm just curious, would that apply for your opinion of your European business as well, is it still in growth mode if not what really what type of cost changes if any are you making? Thanks.
Jonas Prising: I would say that it applies in terms of being in a growth mode to some countries and although some growth rates have come down. There is still growth, then of course we are seeing some countries like France where we now have some headwinds that are less volume than what we had seen especially at the beginning of the year. We're at the stage where you really need to balance the investments so we don’t miss out on the opportunities for growth that still exist in Europe and making sure that in the countries where we have more of the headwind, we continue to manage to costs and to improve productivity in a very careful way. And I think you saw that execution in the third quarter and we're certainly planning to do that also going forward. This is an environment that we are very capable of handling. We have a very experienced management team and they know how to adjust the cost base when they see headwinds from a revenue perspective as well as no when to start increasing the levels of the investments to take advantage of the growth opportunities that as we see them in different markets.
Jeffrey Silber: Okay. So, given that, do your capital allocation priorities change on specifically focusing on share repurchase which would be more aggressive or less aggressive in that kind of an argument?
Jack McGinnis: Yes. So Jeff, I think what I'd say is we -- in our capital allocation strategy hasn’t changed, we continue to have a very disciplined approach. We do look at whether or not if there's any acquisitions that would be M&A activity would be a priority. We've been cautious in that regard. So, we will continue to look at excess cash and returning excess cash to our shareholders through share repurchases and our approach is opportunistic. So, I would say that you saw what we did in the third quarter, we will continue to review that position but if we continue to think there is a good value in the shares, you can expect that we would be repurchasing.
Jeffrey Silber: Okay, great. Thanks, so much.
Operator: Thank you. And our next question is from the line of Mark Marcon from R. W. Baird. Your line is now open.
Mark Marcon: Good morning. I've got a couple of questions. First, with regards to Germany, you mentioned that you're rolling out some of these front end systems to more markets. How much are you going to end up changing things or what are the lessons learnt from Germany that are going to apply to the new roll outs?
Jonas Prising: Well, I think as you heard in our prepared remarks, Mark, we have been in that completed roll outs in a number of markets when the process of rolling it out in a number of additional markets. So, it just comes down to good execution and planning and making sure that you have the capabilities in place to do it. So, I would say we're very confident about our ability to implement those technology tools that are extremely important for us because technology truly enables us to both drive increased growth with our candidates as well as our clients. And make our delivery models more efficient, then of course improving productivity both in the front middle and back office. So, technology is a key lever for us to continue to drive great top line performance as well as improved efficiency and productivity. So, clearly we're going to address the issues that we have in Germany but we're confident in our plans to continue to implement this across the world in the phased approach that we're deploying now for a number of years and plan to continue to do in the coming years as well.
Jack McGinnis: And I would just add to that. The issues in Germany were very unique. I would say as we look at other front office system implementations: those are going very smoothly. We have not seen that same level of disruption. And so, I would characterize those as isolated to Germany, Mark.
Mark Marcon: Okay. And Adecco had problems in Germany too in terms of their merger integration. So, I'm wondering do you think that this is the disruption is kind of a one-time blip in terms of the dissatisfaction and the clients and the candidates come back or is it we're in the penalty marks for a year or so with some clients. Just trying to think about as we go beyond the current quarter in thinking about Germany?
Jonas Prising: Yes. I would say Mark, we're anticipating is improvements. We do have that in the revenue guidance for Germany. It's going to continue to work through. As a result of that we do expect to see more elevated levels of revenue decline but improved from what we saw in the third quarter. We would expect that rate to continue to improve. And so, the and we did say in the prepared remarks into the first part of 2019, you should expect that to continue to improve. And I would say gradually from that point forward based on what we see as we continue to work through those initiatives. So, I would put it more in that camp and not a prolonged rate of decline at the current levels.
Mark Marcon: Great. And then, the second part of the question is just -- we do get more questions about how we're thinking about the longer term macro outlook and whether or not this is the beginning of the end of this current cycle. From that perspective, how should investors think about like the levers that you can pull from a cost perspective if we were to start going into a down turn and how that would be different relative to prior cycles?
Jonas Prising: Well, I think we've been through many cycles over 70 years or so. So, we have a very experienced management team who would know how to pull those levers and I think you saw us managing to the softer revenues in a good way in the third quarter and also we're anticipating doing the same into the fourth quarter. But as I mentioned in my early remarks and in my responses to the questions on the call, we don’t think we're at that level yet. We still see that there are opportunities for growth in many markets still in Europe as well as elsewhere globally. It's one of the advantages of having a global footprint as well as a very diversified portfolio of business. Now, having said that, clearly we have made some great progress in terms of efficiency and in terms of our productivity. We have much a much smaller physical footprint as we've been expanding our digital footprint and of course that renders our cost more variable, also moving things to more centralized delivery models enables us to flex up and down in a better way. So, I would expect us to be able to manage fluctuations in a better way today than we've been able to do in years past.
Mark Marcon: Great, thank you.
Operator: Thank you. And our next question is from the line of Hamzah Mazari from Macquarie. Your line is now open.
Unidentified Analyst: Hi, this is Mario Cortellacci filling in for Hamzah. Could you give us a sense of whether your industrial staffing business has at all impacted by the U.S. China trade tariff directly or indirectly and maybe how big that exposure might be today? And maybe another angle on that would be what is your client exposure to that tariff situation as well?
Jack McGinnis: Well, generally speaking, we have of course a large proportion of our man power business involve the manufacturing of various kinds and on a global basis. And our overall view is of course that the global trade war is not going to be good for economies, it's not going to be good for manufacturing companies generally. But in terms of seeing a direct impact that this point we think it's too early to call. Most of our clients have not cited that as a reason for either caution or a pull back. It might have more to do with industry specific situations such as the automotive sector in Europe where emissions legislations has started an impact as well as over capacity. But it's of course something that we're watching very carefully because if the trade war actually takes further steps and it becomes more impactful, it is something that our clients will feel and that is then subsequently something that we would have to manage to as well. But at this point, we're not seeing a direct impact that we could attribute to a global trade war or the increases in tariffs.
Unidentified Analyst: Okay. And then just a quick follow-up. I guess, could you walk us through how you should how we should think about the current labor inflation situation and what your bill rate might look like going forward?
Jack McGinnis: Yes. I would say there really hasn’t been a significant change. When we look at wage inflation, what we see in the U.S. has been holding pretty much in line with what you're seeing from the BLS data for a large part. Certainly there's exceptions in the red hot skill sets as there always are. But I'd say generally speaking, it hasn’t changed significantly. And I'd say that's also the case through our major markets in Europe currently as well.
Unidentified Analyst: Alright, thank you.
Jack McGinnis: Thanks.
Operator: Thank you. And our next question is from the line of George Tong from Goldman Sachs. Your line is now open.
George Tong: Hi, thanks. Good morning. You're mitigating operating headwinds in Europe with pricing discipline. Can you discuss whether you're seeing any evidence of market share loss with this pricing discipline especially in an environment of reduced client spending?
Jack McGinnis: Thanks, George. We still feel that the labor markets are still strong in a number of this European markets and demand for talent remains good. And we feel that in many of in most of these markets, we are at market with where we are positioned in terms of our segments. So, we don’t think that we're incurring any market share losses due to our pricing strategy. We think that markets generally in terms of pricing appear to be rationale. But we are very focused on pricing discipline and improving our gross profit margins and our operating margins. And we feel that the value that we provide by identifying great talent that is in high demand by our clients is deserving a clear firm as it relates to the cost of recruiting those individuals and that talent especially when it's harder to find in a number of markets. So, I wouldn’t characterize it in general as leading to market share losses but we are very disciplined in terms of our pricing because we are very focused on our gross profit position and this is the kind of market where we can apply that pricing discipline and still be with the market.
Jonas Prising: Yes. And I would just add to that George. I think when we look at the trends in the third quarter, as I mentioned earlier, we're able to improve the trend of gross profit margin particularly the staffing margin in key markets like France and Italy. And as a result of doing that, we did not see any significant changes in market share. I think when you look at market share, the thing to keep in mind is there are differences in mix of the sectors that we operate in and sometimes that will drive some different results among the bigger players. But on an overall basis, we feel very good that this has not impacted market share.
George Tong: Got it, very helpful. And then within southern Europe, can you elaborate on the operating environment in Italy and Spain and how revenue growth there has trended exiting the quarter?
Jack McGinnis: In both Italy and Spain, George, we've had some strong growth over a number of years. Now, both of them have seen some softening in PMI lately but I would say the environment in Spain is still good although it's softened a little bit. Spain has some concerns around the new government. The new government has implemented some policies if approved that would for instance increase minimum wage by more than 20% overnight. And so, it's creating some concerns about increasing labor cost and competitiveness. As it relates to Italy, we feel very good about our positioning in Italy and of course our performance has been very strong in Italy. And I would say that in terms of the legislative impact of the dignity decree, it's too early to call but we think it's manageable or no more in November. Clearly, there have also been and there are today discussions with the Italian government about some budgets that are not related to our industry but it could have an impact in terms of their economic growth. But that's still an ongoing discussion between Italy and the EU. So, we don’t know how that's going to end up. But that would be in my characterization of the environment in both of those countries.
Jack McGinnis: And I would just add, George, as to set off from the revenue guidance perspective. Italy has been performing very well, they came in in expectations in the third quarter. We see what's happening in the fourth quarter is really just the anniversary of that 30% days adjusted growth a year ago. So, that continues anniversary that will drive their revenue trend projection to very low single digits in the fourth quarter. But it's only due to that. They're performing very well on an underlying basis. In Spain, to Jonas's earlier comments, actually soft pressure in the third quarter and we see that slightly improving into the fourth quarter.
George Tong: Got it, very helpful. Thank you.
Jack McGinnis: Thanks.
Operator: Thank you. And our next question is from the line of Gary Bisbee from Bank of America/Merrill Lynch. Your line is now open.
Gary Bisbee: Yes, hi guys, good morning. You referenced the systems investments in a couple of the markets I guess in the U.S. in particular as a margin headwind this quarter. Can you just help us aggregate like what's the total spend you're doing. How much pressure is that across the business in total and what's the duration of those planned investments? So, will those continue on for several quarters or are we through a lot of that?
Jack McGinnis: Thanks Gary, welcome back to the call. By the way it's good to hear from you again.
Gary Bisbee: Thank you.
Jack McGinnis: I'd say in the U.S. when we look at the year-over-year margin decline, I'd say it's hard to put an exact number on it because we've been investing in the U.S. on in the prior years as well. But I'd say it's clearly adding some additional pressure to the OUP as we expected. So, if you want to think about that looking at the trend from the second quarter year-over-year into the third quarter year-over-year, I'd say it's probably in that range of 60 basis points at the moment I'd say. And the roll out Jonas's earlier comments that he made, we're being very careful in the execution to make sure we do it in waves so that we're not disruptive to our clients. And as we do that, we're we've done some of that earlier in 2018 and we'll continue to do that here in the fourth quarter and into 2019. So, I think you should expect that that will continue into 2019 likely through the second half of 2019.
Gary Bisbee: Okay, great. And then the other thing on the cost side, you mentioned a couple of times cost accrual adjustments. I think I heard it in two segments. Was that a meaningful benefit to margin in the quarter and is that one time'ish if we think of it that way? Thank you.
Jack McGinnis: Yes. I'd say think of it as about between 10 basis points and 20 basis points of GP margin improvement for the quarter overall. Third quarter is typically a time where you do take a look at a very hard look at a lot of the accruals based on what's happening with social cost related accruals and true ups related to that based on what run rates are telling you based on year-to-date activity. So, I'd say that that was primarily in France and Japan and that did improve their GP margin slightly in those markets as a result of that.
Gary Bisbee: And just if I could sneak one more, in the U.S. a quarter ago as I recall you talked about seeing some momentum on the top line particularly with the Manpower brand, just can we get an update on what's going on there. It didn’t look at least on a year-over-year basis like there was a lot of improvement. Thank you, very much.
Jack McGinnis: We continue to make progress in Q3 in many areas. And but we still have more work to do, so we can continue to improve the revenue performance. I'd say that we feel like good and confident about the direction but it is moving slower than we would like. And we feel the same way about Experis but again the pace of improvement is where we would like to do better. It is clear that the demand is good in the market but it is more difficult finding the talent which means it just takes us longer to find the people with the required skills. So, in summary I would say that we've got more work to do. We're intensifying our efforts but I think we're pleased with the direction just not with the speed.
Jonas Prising: And I would finish that, Gary, by saying we improve the rate of decline by 2% from the second quarter to the third quarter in Manpower. So, progress is being made and we expect to continue see progress going forward.
Gary Bisbee: Thank you.
Operator: Thank you. And our next question is from the line of Joseph Thompson for Tobey Sommer from SunTrust. Your line is now open.
Joseph Thompson: Hi, thank you for taking my question. Related to the RPO business, I remember you mentioned last quarter that you experienced reduced business from large clients. Are there any updates on this client this quarter and what percentage of your RPO revenue is generated from this client? Thank you.
Jack McGinnis: Thanks, Tobey. So, we were pleased to see that our solutions business picked up in the third quarter and our RPO had made some good progress and we moved on from the clients related slowdown that we had had for a couple of or the client related slowdowns that we'd had for a couple of quarters. So, we've made some good progress there in to the third quarter. I would say that demand for multi-geography RPO deals is still very good and of course that speaks to our strength with our global footprint to be able to deliver multi-region and multi-country RPO deals and we're seeing a good pipeline. So, we would expect to see continued good progress from an RPO perspective and from our solutions business in general as well.
Jonas Prising: And I would just add to that. That one specific client, we were talking about one client in the U.S. so it wasn’t a broader comment in that and that one client was seeing some reduced activity in 2018. And that continued into the third quarter. But on an overall basis the U.S. did see growth on an overall basis in RPO. And as we talked about an overall basis, good RPO results for the quarter overall. They were a big driver in that GP margin improvements and high single digit revenue growth overall.
Joseph Thompson: Thank you for that, thank you for the color. Moving on to a little bit of the IT business, how would you compare your pricing of bill rates you've been receiving from clients in comparison of the U.S. market overall? Thank you.
Jack McGinnis: Well, I would say for the U.S. overall, we've been we're seeing very good gross profit margin. I think we talked about the progress we've been making particularly in the Experis brand. We expanded staffing margin in the third quarter in the U.S. in the Experis business. So, I'd say that that trend is consistent with what we are saying earlier with underlying progress on an overall basis in the trend of staffing margin but particularly in the on the Experis and the IT staffing side we saw a very good progress in the U.S. with expansion and we saw a very good progress I'd say on the staffing margin generally across Europe in those markets for the IT staffing as well.
Joseph Thompson: Thank you.
Jonas Prising: Thanks. And with that we've come to the end of our call. Thank you very much for attending this call this morning. And we look forward to speaking with you again on our fourth quarter earnings call in early 2019.
Operator: Thank you, everyone. And that concludes the day's conference call. Thank you for joining. You may now disconnect.